Operator: Good morning, and welcome to the Dex One Corporation's First Quarter 2011 Results Conference Call. [Operator Instructions] Please note that today's call is being recorded as well as webcast live over the company's website at www.dexone.com. I would now like to turn the call over to our host, Mr. Tyler Gronbach. Thank you. You may begin.
Tyler Gronbach: Good morning, and thank you for joining us today. We will begin this morning with comments from Dex One Chief Executive Officer, Alfred Mockett; and Chief Financial Officer, Steve Blondy. Following their comments, we will then have time for some of your questions. I would like to remind everyone, certain statements made today may be forward-looking as defined by the Private Securities Litigation Reform Act. We call your attention to our news release for the quarter ended March 31, 2011, and the company's Form 8-K furnished to the SEC this morning. These documents discuss first quarter 2011 results. And the 8-K also includes the results information package, which provides additional information pertaining to the quarter. We encourage you to review these materials and the company's other periodic filings with the SEC, which set forth important risks and other factors that could cause actual results to differ materially from those contained in or suggested by any forward-looking statements. Electronic versions of Dex One's SEC filings can be obtained by contacting us, visiting dexone.com or visiting the SEC's website at SEC.gov. Copies of the news release and results information package can also be found under the Investor Relations tab at our website. Commencing on February 1, 2010, the company adopted fresh start accounting as required under GAAP, which had a significant impact on the reported results of operations in that year. These reported results were not indicative of our underlying operating and financial performance and are not comparable to any prior or subsequent period presentation. In addition, GAAP figures for the first quarter of 2010 only include results from the 2 months ended March 31, 2010. During the call today, we will refer to certain adjusted figures that are non-GAAP financial measures. In the current period, such items include: expenses, EBITDA, free cash flow and net debt. Some of these figures exclude stock-based compensation and long-term incentive program expenses, as well as fair value adjustment. Additional information about non-GAAP financial measures, as well as reconciliation between these items in the comparable GAAP measures can be found in the press release and related 8-K furnished to the SEC. One final reminder, this call is the property of Dex One Corporation, and any retransmission or broadcast without the expressed consent of the company is strictly prohibited. With that, now I'd like to turn the call over to Alfred.
Alfred Mockett: Thank you, Tyler. Good morning, everyone. On our Investor Day on February 24, we shared our new vision, strategy and business plan to unlock shareholder value. Throughout the meeting, we stressed that the foundation for transformation change lies in assembling the best management team in the industry. By tapping top internal talent and blending it with key outside appointments from the technology sector, we have assembled a team with a fresh perspective. This month, we engaged a new head of sales and marketing, Rick Hanna. Rick has held senior leadership positions at several technology and telecommunications companies including AT&T, MCI, MFS-Intelenet and Teligent. As our sales leader, Rick will help drive our transition to a customer-centric organization and a team-based sales approach. And earlier this year, we had Atish Banerjea, our Chief Technology Officer, and David Sharman, our Chief Strategy Officer. They both bring extensive technology and change management experience to Dex One. Today, I'll provide comments and context for our quarterly sales performance, as well as bridge the gap between the current top line results and our expectations for growth in the second half of 2012. Steve will review quarterly highlights and progress on our plan to achieve $140 million of cost reductions for the year. Following Steve's comments, we welcome your questions. Market conditions remain challenging. Q1 bookings declined 16% versus 15% in Q1 of 2010. Ad sale declined less than 17% in the quarter compared to a 19% decline a year ago, a moderation of 2 points slightly better than expectations. Current declines were driven by lower customer accounts as well as reductions in average spending levels, reflecting ongoing difficult local business conditions. The most recent study from the National Federation of Independent business cited declining small business optimism. We believe however, that improvements we have begun to see in the national economy will eventually lead to better local conditions. Despite the challenging conditions, we are seeing some encouraging developments. For example, Tier 2, Tier 3 in rural markets, which collectively represent 60% of sales, continue to outperform major metro markets. Our largest local customers who spend $30,000 or more per year continue to realize the value we provide, and retention of this important segment is more than 90%. 19 print books grew this quarter, putting us on track to achieve our target of driving 100 print directories back to growth in 2011. During the quarter, we also made progress on our strategic initiatives, positioning us to return to growth in the second half of 2012. Our new client contact center in Overland Park, Kansas is now operational. The center supports our transition to team-based selling on a customer-centric approach. It also one of the main factors that will enable us to triple the number of client contacts we have each year without dramatically increasing the number of marketing consultants. Our Sales Academy, which provides best-in-class training and development is now up and running. The academy trains new hires and provides a continuous learning curriculum and certifications for our seasoned marketing professionals. We expect more than 600 marketing consultants to go through the academy in 2011. In 2012, we have plans to extend the reach of our continuous learning efforts to all Dex One marketing consultants via iPad and Internet-based training. We continue to modernize our sales recruiting efforts and are now leveraging the variety of traditional and nontraditional methods such as Facebook and LinkedIn to attract high-energy digitally savvy professionals who are committed to winning in the marketplace. We have also moved on to the college campuses looking for qualified digital natives that have a track record of success academically and in of their own endeavors as well as a demonstrated initiative, achievement and resiliency. After completing an intensive 2-month training program, our new recruits spend their entire first year with a top-performing salesperson serving as their mentor. We reinforced the best-in-class training with the mentors' valuable real-world experience. These bold moves in recruiting and training are key elements to our plan to grow digital sales. In March, we launched our new ad campaign that highlights the complementary nature of the product set and helps to reconnect our business-to-business-to-consumer value chain. We leverage traditional and social media platforms to distribute our message, utilizing YouTube and virtual and viral marketing techniques. Looking forward, we continue to be focused on our 4 growth drivers: new technology platforms and solutions; simple, effective product and service bundles; Dex Guaranteed Actions and investments in sales tools, training and technology. Starting with platforms and solutions, we have updated our Dex Mobile applications across multiple devices and operating systems. In addition, this week, we will introduce Dex city Central, a hyper local iPad application providing in-depth community information. Dex city Central provides a unique integrated source for city-based information, marrying our local trusted business information with our partners, data and social media. The app covers 90 markets, with more on the way. During the quarter, we completely rebuilt our product roadmap including deliverable due dates and sales commitments with clear accountability for results. We've been engaging with strategic partners, and over the coming months, marketing consultants will be offering new solutions to our customers, including reputation management, mobile websites, enhanced video, social media and customer relationship management. Moving on to our second growth driver, bundled offerings. Today's marketing landscape is complicated. Local businesses are bombarded with a range of offerings to help establish their presence and generate leads in the digital world. They know that attracting consumers is important but they don't always have the time, nor the expertise to know what to do. They are thirsting for help in navigating this complex and fragmented world. This plays to our advantage. Our goal is to be the one partner that local businesses rely on to solve their marketing challenges. By integrating our offerings into bundles, we will make our customers lives easier, generate more leads and improve print and digital sales. The third way we will support our return to growth is with our Dex Guaranteed Actions. When I announced this on Investor Day, I said, this is a game changer and an industry first, a guaranteed performance advertising product. When a customer signs up for one of our high-end guaranty programs, we commit to deliver a pre-specified minimum number of consumer actions over the following 12 months. This is important because it provides partnership and reduces perceived advertiser risk. This focus is the conversation on our strength, delivering and creating high impact multi-platform campaigns that generate leads and produce attractive ROIs for our customers. In a successful trial program in Phoenix, customer retention and spending were meaningfully higher, relative to advertisers who did not participate. We expect Dex Guaranteed Actions to be a big competitive advantage, particularly in major metros. Preliminary customer feedback has been positive. We are currently selling Dex Guaranteed Actions in Minneapolis and Seattle. By the end of 2012, we expect to offer Dex Guaranteed Actions to targeted verticals and sub-verticals in our 100 largest markets. Our last growth initiative is improving the tools, training and technology for our sales organization. In terms of tools, we've rolled out iPad as well as mobile WiFi hotspots to our field-based marketing consultants. We've enhanced the experience of customers, supported by telephone-based consultants by deploying WebEx, a leading web-based presentation package from Cisco Systems. These tools have been proven successful as they not only change the customers' perception of our consultants but also change the nature of the conversation. Customers in realtime view professional presentations, utilize support collateral, engage in content development and review key metrics associated with their programs. In the near future, we will leverage our iPads even further by deploying electronic signature capture and order entry systems collecting feedback, and app design and lay-outs, utilizing CRM applications and leveraging sales collaboration tools. I spoke about the Sales Academy and customer contact center earlier. So on the training element, I would just add that it is not enough to provide the tools. Marketing consultants have to use them effectively so we have created multilevel certification programs for iPad and WebEx in addition to training tools for new product launches. These critical innovations will collectively enable our marketing consultants to better engage with the customers and present our new suite of products and services. Soon, a digital dashboard will enable customers to easily measure results, select services and manage their investment. It will be an integrated, single point of view with deep, rich data-driven analytics. We are also adopting state-of-the-art platform, moving to the same search technology as Facebook and LinkedIn. Lastly, we are in the process of launching full pay Yellow Pages trials in order to evaluate the risks and the opportunity associated with limiting inclusion in our print products to paying customers. With that, I will hand it over to Steve.
Steven Blondy: Thank you, Alfred, and good morning, everyone. First quarter free cash flow of $105 million converted 60% of EBITDA and allowed us to repay $95 million of bank debt, including $50 million of optional prepayments in the quarter. Although ad sales declined 16.6% in Q1, this includes 1.9 points of adverse impact from TMP, a CMR national reseller that's winding down operations. Absent this impact, Q1 ad sales decline would have been 14.7% or 4.4 points better than last year. Q1 GAAP revenue of $391 million declined $77 million from Q1 last year, reflecting lower ad sales. Expenses for the quarter totaled $216 million, including an incremental $6 million restructuring charge. Absent restructuring, we lowered quarterly expenses by $33 million, or 13% sequentially, driven by improvements in bad debt, production and distribution costs and headcount. Quarter end headcount of approximately 3,000 was down 475 or 14% from Q1 last year and down 200 since year end. Our Q1 expense run rate is ahead of the $875 million of annual expenses implied by the midpoint of our guidance. So we're on track to achieve full year guidance even though some expenses are back half loaded this year. We're also on track to achieve our $140 million cost reduction objective. Q1 bad debt expense of $9 million was just 2.2% of revenue, again demonstrating our effective credit and collection policies and the quality of our receivables. We expect full year bad debt in the 3% to 4% range. Q1 EBITDA of $175 million represents a 45% margin, subtracting $64 million for cash interest, $5 million of CapEx and $2 million for working capital uses, derives Q1 free cash flow of $105 million. We paid 0 cash income taxes in the quarter, again demonstrating the tangible value of our substantial tax attributes. We repaid $95 million of bank debt in Q1, again including $50 million of voluntary prepayments in addition to the $45 million scheduled. In 14 months since emergence, we've repaid $651 million of debt, including $439 million of advanced payments, funded solely by our strong free cash flow. March 31 net debt of $2.6 billion represents 3.3x LTM leverage, with a weighted average rate of 7.3%. We maintain ample cushions across our covenants and we continue to pay cash interest on our notes. Before moving to Q&A, let's quickly review our remaining KPIs. Year-over-year active customer count was down 10% in Q1, driven primarily by continued challenging local business conditions. Average sale per customer of around $3,700 was down 2% from last quarter, primarily driven by lower marketing budgets and churn of existing clients who tend to spend more. Q1 net ad sales decline of 17% was comprised of 80% recurring sales, plus new business of just 3%. Turning to Q2 guidance. We expect quarterly ad sales to decline between 14% and 15%, including a one point impact from TMP, thus indicating improved year-over-year and sequential trends. As we transition national advertisers who previously worked with TMP to new CMRs over the next couple of quarters, this adverse impact will diminish. Our growth initiatives will also begin to positively influence results in the second half of this year and should have an increasingly positive impact in successive quarters. Meanwhile, we continue to generate strong EBITDA and free cash flow, while repaying debt ahead of schedule. Operator, we are now ready for questions.
Operator: [Operator Instructions] And our first question comes from Lance Vitanza with CRT Capital Group.
Lance Vitanza - CRT Capital Group LLC: A few questions if I could. The first, the ad sales trends improved quite a bit year-over-year but were a tad weaker sequentially. Could you discuss any seasonal factors that come into play here?
Steven Blondy: Yes. Lance, it's Steve. So as we've said, the ad sales metric is really a same-store metric that's important to look at on a year-over-year basis primarily so that we're looking at the same markets. And look, Q1 has been a challenging quarter for us in the past. We had managed to improve the trends this quarter. I think typically, Q1 and Q3 are the ones that are relatively weaker and Q2 and Q4 are relatively stronger. But we're committed to sequential improvement to get to our goal of positive growth by the second half of next year.
Lance Vitanza - CRT Capital Group LLC: I'm not sure I understood the first part of your answer. Are you suggesting -- are there different markets that you are in today that you were not in, in Q4?
Steven Blondy: Yes. So Q1, the primary markets published are Albuquerque, Portland and Denver. Whereas Q4, the largest markets are Tucson, Phoenix and Salt Lake. Q1 also includes Orlando and just Q1, we've had worse trends in Q1 and Q3, relative to Qs 2 and 4 in the past. So that's kind of what you're kind of seeing.
Lance Vitanza - CRT Capital Group LLC: Understood. And then the 19 books that comped positive in the quarter, could you tell us what was that number in Q4 and if you could remind me how many books you have in total?
Alfred Mockett: Okay. We have 813 books in total. The number of books that went positive last year were just a handful for the year. It wasn't material. Our commitment was 100 books to go positive this year and we're on track to achieve that number.
Lance Vitanza - CRT Capital Group LLC: Okay, great. On the restructuring expense side, I've picked up the $6 million in Q1 and I think you've put on a slide that there were some amount in -- $19 million in Q4. Could you tell me the number or the amount of restructuring expense in Q1 of 2010?
Steven Blondy: No. We didn't have any restructuring charge in Q1 last year.
Lance Vitanza - CRT Capital Group LLC: Okay, great.
Operator: And our next question comes from Jason Alper with BTIG.
Jason Alper - BTIG, LLC: My question was regarding bookings. Obviously, it looks like from the slide that there is 200 basis points of impact from the CMR in the bookings. If I understand your bookings metric correctly, it's a very forward-looking metric and it looks like anywhere from 95% to 96% of your bookings convert into revenues. Is that an accurate way to look at it?
Steven Blondy: Well, it all converts to revenue eventually. I think the point here is that bookings represent the value of the contract signed in the period for our local customers, which is about 85% of revenue plus the published value of the national accounts, which is the other 15%. So during the quarter, the bookings number we reported is the actual customer contract signed during the quarter. And I think about 20%, 30% of that is -- refines its way into ad sales in the quarter when bookings is reported and then I think it's like 40% to 50% in the immediate subsequent quarter and then maybe another 30% in the following quarter and then there's a small bit that is in the fourth quarter following the reporting of bookings. So it kind of -- it peaks and then it kind of fades a little bit after the immediate quarter following reported bookings.
Jason Alper - BTIG, LLC: I see. So it's not solely a 12 months forward-looking type of net number, it filters in over time.
Steven Blondy: Yes. The vast majority of our contracts are still 12-month contracts. So it does represent predominantly 12 months kind of future orders. But remember, bookings is the value of the contracts signed in the quarter or in the period, whereas ad sales represents the published value of all the contracts signed in the directory which is actually published in that quarter.
Jason Alper - BTIG, LLC: Okay. And presumably, I saw Alfred's prediction that it looks like the second half -- he still believes that second half is going to turn to positive growth. Presumably that's going to show up in bookings at some point before that happens?
Steven Blondy: It will. And that's second half next year. And I think that we're focused on getting bookings to positive in the second half of next year.
Jason Alper - BTIG, LLC: I see. So bookings were positive in second half of next year, not necessarily ad sales or revenues?
Steven Blondy: Correct.
Jason Alper - BTIG, LLC: Understood. Okay. That was the basic -- basis to my question.
Operator: [Operator Instructions] Our next question comes from Shachar Minkove with JPMorgan.
Shachar Minkove - JP Morgan Chase & Co: Quick question. Ad sales in the quarter came in, looked all modestly than the guidance you provided in, I guess, late in February at the Analyst Meeting. Reading into that, that would, I guess, imply that March came in a little stronger than you expected. Can you just give us some perspective on for how it looked -- how ad sales looked in -- throughout the quarter?
Alfred Mockett: Okay. Well, obviously, we have a little bit stronger close to the quarter than we anticipated, particularly driven by some late-breaking digital sales. And so we're pleased to bank that performance just outside range. Looking forward, we said it's a 14% to 15% decline for Q2. We're giving ad sales guidance a quarter a time. We give you the visibility that we've got. And certainly there's still about a one point difference on that or a negative adverse impact based on working through the TMP issue. And we should have worked through that by the year end. So then, you'll be on like-for-like.
Shachar Minkove - JP Morgan Chase & Co: Okay. And any markets in particular in the first quarter that were either -- that were stronger or weaker than you expected?
Alfred Mockett: Well, as we said, we -- generally, our first and third quarters are our most challenging quarters whether there's some slightly more challenging markets. And certainly, in the first quarter, Portland and Denver continue to be challenging markets.
Shachar Minkove - JP Morgan Chase & Co: But not any stronger or weaker than you thought?
Alfred Mockett: Well, we were only marginally outside guidance. So I guess we were -- that's about as good as we can get.
Operator: Our next question comes from Jonathan Levine with Jefferies.
Jonathan Levine: Just really want to follow up a little bit on kind of the guaranty program. See if we can get a little bit more color in terms of kind of what you've seen since kind of the Analyst Day. It's still only in Phoenix and you said that you're planning on launching the other 2 or have you already launched the other 2 markets?
Alfred Mockett: We've already launched the other 2 markets. Those campaigns are in process. The Phoenix trial was a matter of hundreds of customers, not thousands. We were very encouraged by the results. In all instances, we were able to demonstrate uplifting customer spend and higher customer retention. We're now rolling out in Minneapolis and Seattle and we're getting some more experience. That has given us the courage of our convictions to accelerate the rollout. And so now we're heading to our top 100 major markets with the Dex Guaranteed Actions programs.
Jonathan Levine: Can you talk a little bit in -- based on what you're seeing in kind of the new markets now that you're launching? A little bit in terms of the take rates. Are those kind of the results, meaning the percent that you've actually achieved the guarantee on?
Alfred Mockett: Yes. Okay, well, first of all, we have done a lot of work using SAS Analytics, looking at how we generate leads by geography, by vertical, by subvertical, by sort of a micro segment if you like. And we have a wealth of information on our base there that allows us to accurately predict the number of actions that we can guarantee for a given customer in a given geography, down to the zip code for a given vertical. That allows us to present guarantees to customers, which overall we estimate will cover more than 50% of our base. Obviously, there are certain verticals where it's not applicable, there are certain geographies where it's not applicable. But certainly, we see this program being applicable to more than 50% of our revenues.
Jonathan Levine: Okay. And I guess the earlier results in terms of what you're seeing thus far? Are you getting -- are you kind of achieving kind of with that 50% of the base? Are you achieving kind of that 90%, which is I think the number...
Alfred Mockett: The whole of the system is designed to give us 90% achievement against our targets. We want to meet or exceed our targets in that 90%. For the other 10%, we recognize that we may fall a little bit short. Then we go into the market, we buy leads and we repoint those leads to fulfill our commitments under the contract. So in that final 10%, the gross margin gets a little bit squeezed but nonetheless, we still remain profitable.
Jonathan Levine: Okay. And I guess thus far, in these -- the 2 new markets that you've launched, is it too early to kind of see whether you're actually hitting it or...
Alfred Mockett: Well, it's too early because it takes time for the programs to rollout. I mean, these are 12-month commitments. But early indications through the first few months of the initial trial is that we're on target and we're hitting our numbers.
Jonathan Levine: Okay. I was just trying to figure out if you are tracking. That's great. That was helpful.
Alfred Mockett: Sure. We were tracking it, yes.
Jonathan Levine: Okay. I just wanted to make sure -- see if you guys were kind of tracking. That's great.
Operator: And our final question comes from Todd Morgan with Oppenheimer.
Todd Morgan - : I had sort of 2 questions. I guess, Al, in the beginning, you talked about smaller markets representing about 60% of your sales and those outperforming some of the larger markets. Can you give us anymore relative comparison? I mean, by how much? And I guess is the profitability contribution sort of in the same proportion?
Alfred Mockett: Yes. Well, certainly. First of all, if we look at our Tier 2, Tier 3 cities in rural markets, about 40% of the consumer base in those markets does not yet have a broadband connection. So there's a much greater reliance on print in those markets and that will continue for the foreseeable future. If we look at our top 9 major metro markets, generally, they are underperforming the average by 5 or 6 points and the 60% on the Tier 2 and Tier 3 are over performing the average by 5 or 6 points.
Todd Morgan - : Okay, that's helpful. And I guess the secondary is just looking at the cost structure a little bit and you've provided kind of a consolidated operating cost line. But if I'm trying to sort of parse apart on the cost goods signed -- cost of goods sold in particular, it looks like your bad debt expenses is down about $10 million. Could you talk about how the sort of the other costs in the cost of goods sold line trended? And in particular, how much of the expenditures for your digital and other online initiatives are up versus, I'm assuming, print down? Is there really dramatic decrease in the print side in the dollars then being reallocated? Or can you give us relative sense to that?
Steven Blondy: Yes. So there was a lot of questions in there Todd. So first of all, bad debt, we include in our -- it's not in cost of sales but it's in our support costs. So that's not a factor in what you're seeing in cost of sales per se. But I think the general trend of what you're describing is accurate, that we're working hard to remove costs from print and taking those dollars and reinvesting them in digital. What you see is across the other spending areas are direct selling costs, our support services in G&A is that we're holding those costs as a percentage of sales.
Alfred Mockett: Well, I think previously, we said that employment-related costs account for about 40% of our cost base. And so obviously given the significant headcount reduction we've achieved in the last 6 months, then that is rolling through cost of sales and operating costs.
Todd Morgan - : Okay. So I guess we'll see detail on the Q then.
Alfred Mockett: Yes.
Alfred Mockett: Okay, Shey, so if that was the last question, let me just make a few comments in conclusion. There are 3 points I would like to reaffirm. First, we have assembled a leading management team with technology experience that will be critical in transforming our company and positioning it for long-term growth. Secondly, we will soon be delivering new technology platforms and solutions to address customer needs and lastly, we remain on track to achieve our full fiscal year guidance and we have initiatives in place to help us return to growth in the second half of 2012. Thank you for your time today. I'll look forward to providing you updates on our progress and achievements on our next call. Good day.
Operator: Thank you for participating in today's conference call. This time, you may disconnect.